Operator: Good day, ladies and gentlemen, and welcome to the eHealth, Incorporated Q3 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference is being recorded. I’d now like to introduce your host for today’s conference, Mr. Kate Sidorovich, VP of Investor Relations. You may begin Ma’am.
Kate Sidorovich: Thank you. Good afternoon and thank you all for joining us today either by phone or by webcast for a discussion about eHealth Inc.’s third quarter 2015 financial results. On the call this afternoon, we’ll have Gary Lauer, eHealth’s Chief Executive Officer; and Stuart Huizinga, eHealth’s Chief Financial Officer. After management completes its remarks, we’ll open the lines for questions. As a reminder, today’s conference call is being recorded and webcast from the IR Section of our website. A replay of the call will be available on our website following the call. We will be making forward-looking statements on this call that includes statements regarding future events, beliefs and expectations, including our expectations about the Medicare market opportunities, our strategies of skilled membership and the recurring revenue base for the Medicare business, our belief that we're well positioned for the medical enrollment period, strong growth in Medicare applications in this AEP, our ability to offer an extensive selection of Medicare products, deceptiveness of our marketing programs, our expectations for the upcoming open enrollment period in individual markets, our ability to careful monitor market environment and marketing costs, our member acquisition strategy, our strategy going into the fourth quarter, our expectations regarding our government advertizing spend in the individual market, managing our individual and family plan business for profitability, our expectations that submitted applications in that business will decline open enrollment period. The expected timing of open enrollment period, sequential trends for the year and their potential impact on fourth quarter, expected increase in operating expenses including marketing and customer care expenses in the fourth quarter, high application volumes during the fourth quarter, expected increase in the fourth quarter revenue driven by the expected increase in Medicare revenue and expectations to the portion of the Medicare revenue from the annual enrollment period gets pushed out into the first quarter. Also attrition of our individual and family membership base, expected decline in the fourth quarter and fee commission revenue and our expectations about our fourth quarter EBITDA. Forward-looking statements on this call represent eHealth's views as of today. You should not rely on these statements as representing our views in the future. We undertake no obligation or duty to update information contained in these forward-looking statements whether as a result of new information, future events or otherwise. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected in our forward-looking statements. We describe these and other risks and uncertainties in our annual report on Form 10-K and quarterly report on Form 10-Q filed with the Securities and Exchange Commission, which you may access through the SEC website or from the Investor Relations section of our website. We will be presenting certain financial measures on this call that will be considered non-GAAP under SEC Regulation G. For reconciliation of each non-GAAP financial measure to the most directly comparable GAAP financial measure, please refer to the information included in our press release and in our SEC filings, which can be found in the About Us section of our corporate website, under the heading, Investor Relations. And at this point, I’ll turn the call over to Gary Lauer.
Gary Lauer: Thanks Kate and thanks everyone for joining us today. We're pleased with our third quarter 2015 results, which demonstrate continued execution just two quarters after implementing a cost rebalancing program. Third quarter revenues and earnings exceeded our expectations. We generated good cash flow and remain debt free. In Medicare an important investment area for us we grew Medicare advantage applications by 140% compared to the third quarter a year ago and grew our estimated Medicare advantage membership by 64% compared to the estimated membership we reported for the third quarter of 2014. During the third quarter in preparation for the Medicare Annual enrollment period, which started on October 15, we invested in the customer care operations required to handle the application volumes we anticipate and we were still able to deliver solid EBITDA and net income. In our individual and family planned business the number of submitted applications and the estimated member base declined as expected outside of the open enrollment period. Our current strategy in individual business is to focus on profitability and cash flow generation. Third quarter revenue was $38.2 million, EBITDA was $5.8 million and GAAP earnings per share were $0.20. During the quarter we generated approximately $10.9 million in operating cash flow bringing our cash balance as of September 30 to $62 million. What I'd like to do now is review several highlights of the quarter starting with Medicare, growth in submitted Medicare applications continue to accelerate throughout the year. Third quarter 2015, submitted Medicare Applications as I stated earlier grew 140% compared to the third quarter a year ago. In the first and second quarters of 2015 this year our submitted Medicare applications for Medicare advantage applications that is grew 79% and 88% respectively compared to the same quarters a year ago. The unit economics we estimate for Medicare advantage products are attractive and the Medicare advantage product is currently at the core of our Medicare strategy. Total Medicare applications which also include Medicare supplement and prescription drug plant products grew 67% year-over-year. The strong application growth numbers outside of the annual enrollment period are illustrative of the significant market opportunities we're pursuing in Medicare and are indicative of this becoming a year around business for us. We're certainly encouraged by the growth of Medicare application and membership that we're able to generate over the past three years. At the same time we are not pursuing growth at original levels of spending. In fact per unit Medicare acquisition cost continue to decline on year-over-year basis with the average cost of acquisition for submitted Medicare member being approximately 40% lower in the third quarter 2015 compared to the third quarter a year. And by the way, we calculate the average cost of acquisitions per Medicare member by dividing variable medical marketing and advertizing costs by the number of applications per Medicare supplement and Medicare advantage products submitted during the quarter. Our strategy for the Medicare business is to build the foundation for meaningful future margin expansion by scaling membership in the recurring revenue basis. Our total estimated Medicare membership at the end of the quarter was 182,700 members or 51% growth compared to the Medicare membership we estimated at the end of third quarter of 2014. Third quarter Medicare Revenue was $7.7 comprised of approximately $6.7 million in commission revenue and a $1 million of Medicare advertizing revenues. As a reminder, 2015 is the first year when as a result of a recent new CMS regulation we booked almost all of our Medicare Renewal commissions on Medicare advantage and prescription for drug planned products during the first quarter. Historically, we had recognized Medicare Renewal revenue throughout the year. The Medicare Annual Enrollment Period or AEP started two weeks ago on October 15, and will run through December 7 of this year. During the third quarter we prepared for this critical season by expanding our dedicated Medicare customer care and enrollment team in glance from early marketing campaigns to generate visibility and demand on our platform ahead of the AEP. You can see this reflection of the increase in our third quarter operating experiences. At the same time, we were able to deliver good overall profitability. We believe that eHealth is well positioned for this annual enrollment period with an extensive selection of Medicare products and effective marketing programs including a combination of in-house and partner based initiatives. Turning to our individual and family planned business during the third quarter we generated $22,500 individual and family plans submitted applications down approximately 5% year-over-year. The annual decline in submitted applications is reflective of our current focus on both unit economics and the overall profitability of our individual business. In addition, to cutting fixed cost is part of our cost reduction program we also adjusted our variable market spend in this market resulting in a decline in our overall marketing cost in the individual business. We also continue to observe higher average commission dollars on a per estimated member basis across our individual and family plan member base for the third quarter compared to a year ago. As we shared with you on our last earnings call we believe that some of this can be explained by qualified health plans getting higher average premiums than non-qualified health products. We were able to sell qualified health plans in greater volume during this last open enrollment. During the third quarter outside of the open enrollment period we continue to successfully enroll subsidy-eligible individuals into qualified health plans or QHPs through the federal exchange with QHPs representing approximately a third of our total submitted individual and family plan applications for the quarter. Our ability to enroll subsidy-eligible individuals into qualified health plans in future periods will depend in part on CMS regulations and mandates and our ability to have an effective technology connection into healthcare.gov. Our estimated individual and family plan membership at the end of the third quarter was approximately 518,000, down 9% compared to the estimated membership were reported for the second quarter and 21% compared to the estimated membership reported for the third quarter a year ago of 2014. It's important to note here that outside of the open enrollment period there is not enough application opportunities for us in individual market to offset the attrition in this business. And still we will provide more details on our individual and family planned business including third quarter revenue dynamics later During this call. The next open enrollment period in the individual market is scheduled to start in just a few days on November 1, and is scheduled to run through January 31, 2016 next year. As the open enrollment period kicks off we expect to carefully monitor the markets environments and opportunities and we will spend on member Similar to commission revenues, our estimated second quarter individual and family plan membership where we think it makes sense. Going into the fourth quarter our strategy to pursue the fast growing Medicare market with much of our acquisitions been focused on this business. In the individual market where high government advertizing expand is expected once again we will watch our marketing costs closely and plan to continue to managing this business to profitability. As a result, I expect that we will generate larger Medicare application volumes in this annual enrollment period compared to last year at the same time expect to see a decline in the individual family plans submitted applications during the upcoming open enrollment period compared to prior one. Once again, we are pleased with our results in this quarter and highly optimistic about significant growth opportunities in the Medicare business as evidenced by yet another strong Medicare quarter. And now I’d like to turn the call over to Stuart Huizinga. Stuart
Stuart Huizinga: Thanks Gary and good afternoon, everyone. I would like review our third quarter financial results in greater detail and provide some directional comments for the fourth quarter of 2015. Our third quarter 2015 revenue was $38.2 million compared to $41.2 million in the third quarter of 2014. Commission revenue for the third quarter was $34.9 million compared to $36.2 million in the third quarter a year ago. Third quarter Medicare commission revenue grew by 10% compared to the third quarter a year ago, driven primarily by new member addition. Our escalated Medicare membership at the end of the quarter was 182,700 an increase of 51% compared to the third quarter of last year. I would like to remind you again that 2015 is the first year when we booked the vast majority of renewal revenues on a Medicare advantage and Medicare perception drug plan members during the first quarter as a result of the new CMS regulation. In 2014 we recognized these renewal revenues throughout the year. So the year-over-year comparisons of our third quarter Medicare commissions are impacted by this change in the timing of revenue recognition. If you look on a year to date basis our Medicare Commission revenues for the first three quarters of 2015 grew 76% compared to the first three quarters of 2014. Commissions from individual and family plan and ancillary products combined declined by 6% compared to the third quarter of 2014 due to a decline in the estimated number of revenue generating individual and family plan members over the same time period partially offset by an increase in average commission revenue per estimated individual and family plan member. Our estimated individual and family plan membership at the end of the quarter was 518,000 members down 21% from the third quarter a year ago. The year over year decline in estimated individual and family plan membership was expected and reflective of our decision to manage the individual business for profitability while reducing dedicated customer care and marketing spent in this area. It also reflects our estimates of the churn in this business, which we cannot offset through new member additions during a seasonally low application quarter outside of the open enrolment period. At the same time we estimate that our current individual and family plan members on average generated higher commission dollars per member compared to a year ago. This is one of the reasons why our third quarter individual and family plan commission revenue declined just 6% from the third quarter 2014 levels, compared to a 21% decline in the estimated individual and family plan membership for the same time period. Other revenue which includes sponsorship, ecommerce on demand and non-commission Medicare revenue was $3.3 million in the third quarter compared to $5 million in Q3 2014.The decline was driven primarily by a reduction in Medicare advertising revenue of approximately $1.9 million. Our estimated third quarter 2015 ancillary product membership was 397,400 representing 4% annual growth. Our total estimated membership at the end of the quarter for all products combined, was approximately 1.1 million members which represents a 5% decline over estimated membership reported at the end of the third quarter of 2014. Now I'll review our operating expenses for the quarter. The total dollar amount of third quarter operating expenses declined compared to the same quarter year ago. At the same time third quarter operating expenses grew as a percentage of revenues over the same time period. Underneath that operating expenses in our individual and family planned business declined year over year driven be lower spent in marketing and customer care and enrolment areas. Our technology and content expense also declined meaningfully compared to Q3 of last year both on an absolute basis and as a percentage of revenues. These results reflect the successful implementation of our cost reduction program earlier this year. At the same time we continue to invest in our Medicare business as reflected in an Medicare related marketing and customer care and enrollment cost compared to the third quarter year ago. We believe that we're well positioned for this annual enrollment period and invested accordingly to prepare for the Medicare application volume we anticipate. Third quarter 2015 non-GAAP marketing and advertising expense, which excludes stock-based compensation expense was $8.9 million or 23% of revenue compared to $8.5 million or 21% of revenue in Q3 2014. The impact on overall marketing costs from strong growth in submitted third quarter Medicare applications was largely offset by lower acquisitions cost per submitted Medicare member and a decline in individual and family plan related marketing costs compared to a year ago. Similarly customer care and enrolment cost were nearly flat on an absolute basis compared to Q3 of last year as lower individual and family plan related customer care costs served to offset our investment in Medicare dedicated customer care resources. Third quarter 2015 non-GAAP customer care enrollment expense which excludes stock-based compensation expense was $9.3 million or 24% of revenue compared to $9.6 million or 23% of revenue in Q3 2014. Third quarter 2015 non-GAAP technology and content expense which excludes stock-based compensation expense was $7.7 million or 20% of revenue compared to $9.7 million or 24% of revenue in Q3 2014. Third quarter non-GAAP operating income excluding stock-based compensation and the amortization of acquired intangibles was $4.8 million compared to $6.4 million in the third quarter a year ago. Third quarter EBITDA was $5.8 million compared to EBITDA of $7.5 million in the third quarter of 2014. Benefit for income taxes for the three months ended September 30, 2015 was $700,000 compared to a provision for income taxes of $2.2 million for the three months ended September 30, 2014. This reflects a benefit from a decrease in our liability for unrecognized tax benefit of $800,000 due to the expiration of the related tax limitations on those previously unrecognized tax benefit. Third quarter 2015 GAAP earnings per diluted share was $0.20 compared to GAAP earnings per diluted share of $0.08 in Q3 of 2014. Third quarter 2015 non-GAAP earnings per diluted share which also excludes stock-based compensation and the amortization of acquired intangibles was $0.30 compared to non-GAAP earnings per diluted share of $0.17 in the third quarter a year ago. Our cash flow from operations during the quarter-- third quarter of 2015 was $10.9 million compared to $11 million in the third quarter of 2014. Capital expenditures for the third quarter of 2015 were $900,000. Our cash balance was approximately $62 million as of September 30, 2015. Now I’d like to address some of the sequential trends for the year and how they can impact our fourth quarter performance. As you know both the Medicare and new enrollment period and the first two months of the open enrollment period in the individual market take place during the fourth quarter. So the fourth quarter is seasonally highest for us in terms of operating expenses given that our marketing and customer care spend is highly correlated with the volume of applications submitted during the quarter. Accordingly you should expect to see a significant sequential increase in both of these areas compared to the third quarter of this year. Regarding revenue we would expect to see a sequential step up in fourth quarter revenue compared to the third quarter of this year driven primarily by the expected increase in our Medicare revenue. Fourth quarter Medicare revenues should benefit from first year commission revenue our new enrollments. It's important to note however that a portion of the revenue that emanates from the annual enrollment period gets pushed out into the first quarter as a result of a combination of CMS regulations, carrier reporting and our own revenue recognition policies. We expect for individual and family plan commission revenue to decline in the fourth quarter compared to the third quarter of this year as a result of ongoing attrition in our membership base, which we do not expect to be fully offset with new individual and family plan member editions during the fourth quarter. New individual and family plan enrollments processed during the open enrollment period are for plans effective January first and therefore do not become revenue generating members until the following year. For the fourth quarter, we expect EBITDA to be negative driven by seasonally high operating expenses as we’re investing in both the Medicare annual enrollment period and the open enrollment period in the individual market. Just as a reminder, we expense all member acquisition cost upfront while commission revenues get recognized over the life of a policy. I want to remind you that these comments are based on current indications for our business which are subject to change at any time. We undertake no obligation to further update these statements. And now we’d like to open up the call for questions. Operator?
Operator: [Operator Instructions].Our first question comes from George Sutton with Craig Hallum.
George Sutton: That was close to George. Guys Relative to Medicare, obviously price increases are going to be fairly significant for this new period. Can you talk about how that affects your demand how that might affect the commission dollars you see and potential customer turnover.
Gary Lauer: George this is Gary and in Medicare as you may know the commissions are actually fixed through CMS, clearance go to CMS, they get the commission rates approved and those commission rates this year actually are up a bit interestingly. And there have been some price increases on Mediacre advantage although not to significant. So we haven’t seen anything that indicates that there is any dampening effect on the marketplace demand, affordability and so on.
George Sutton: Now relative to your ISP business, you talked last quarter about how many of the states might be forced to transition away from the aggressive marketing that and last year could you give us an update on what you're seeing from a state exchange perspective?
Gary Lauer: Well, we haven’t seen anything yet of course because we have a few days away from the beginning of this. We only know what we read in media which is that some of the states are finding it difficult to be able to fund the marketing, the advertising some of these other activities because most of the federal government funding is now gone for the legislation. But we still expect there is going to be quite a bit of government spending on advertising and marketing and what’s interesting about that as you probably seen from health and human services the projections for enrollment in this coming open enrollment period are certainly less than they have been expected a few years ago with the stuff that came from congressional budget offer. So how that goes into the mix, none of us know and that’s why we had made the comment that we’re just going to be monitoring and watching this very, very carefully and where we find opportunities that make sense in terms of what we'll spend will pursue those but we’re certainly not going to after this part of the market where it does -- where the economic don’t work for us.
George Sutton: And lastly Stuart the tax benefit you saw in the quarter it sounds like that was a one-time benefit correct?
Stuart Huizinga: Yeah, that’s a onetime benefit yeah, that your limitation ended on certain items that we were previously reserving against basically and we were able to take that reserve off and recognize that.
George Sutton: Got it, okay. Thanks guys.
Gary Lauer: Thank you.
Operator: Our next question comes from Tobey Sommer with SunTrust.
Kwan Kim: Good afternoon this is Kwan Kim in for Tobey. What proportion of Medicare enrollment has you usually occurred in the convince of open enrollment and how might that shift in coming years, thank you.
Gary Lauer: Well, typically during the annual enrollment period at least historically for us over 60% of the application volume, the annual application volume is occurred then. So it's obviously a big season and of course as everyone knows it's the season that once -- it's the time of year that once you are on Medicare you can switch products. You can't during the rest of the year hence that high volume. However with the very strong application volume we've been experiencing, the very strong demand we've been generating outside of the annual enrollment period and you've seen those in the growth rates over the past three quarters now for a second, third quarter of this year, I think you’re going to see that in the next few years this is going to skew up that it's going to less that 60% of the annual total volume happening in the annual enrollment period and more of that’s going to be moving out, outside of the annual enrollment period which we like a lot because I think I commented this is looking more and more like a year around business and not a business that runs for just several weeks nearly into the calendar year.
Kwan Kim: Got it. And are you able to sell more seamlessly in healthcare in last year.
Gary Lauer: Well, in the first year because of all of the technology challenges that the federal government had that really didn’t have any connectivity to be able to enroll such eligible individuals, last year we had some better connectivity and we've had good connectivity throughout this year. We would hope that that continues in and through this open enrollment period.
Kwan Kim: Thank you. And one more question how has traffic on your side changes since the revamp?
Gary Lauer: Kwan, could you repeat that question?
Kwan Kim: How has traffic on your Medicare website changed since the revamp?
Gary Lauer: We were always saying that revamp is Medicare.com, which is property that we purchased a year and a half, two years ago. But our traffic our volumes everything continue to increase. And if you look at Medicare Advantage application growth of 140% there is evidence of it right there. So we're seeing it increase because of our own efforts both internally as well as through partners and probably most importantly we've used that organic growth happening in the marketplace more and more Americans are turning 65 years of age for the demographics are very favorable there as well.
Kwan Kim: Okay. Thank you very much.
Gary Lauer: Thank you.
Operator: Our next question comes from Steve Rubis with Stifel.
Steve Rubis: Hi. Thanks for taking my questions. I'll ask you first, right now the governor exchanged the rising premiums and we think in the markets that United helped and secured reach the Native to sort of subsidy alter business. So I think it's positives for E- Health or negative?
Gary Lauer: Well its mix. Certainly having United back into the business in the first open enrollment period, United essentially didn't participate. Then it came into more states last year and more this year that’s good. United has got good products. We've always been a very big seller of the United products so that’s good for us. Right across the market premiums continue to increase. We see that the survey work that we do with our own member base in the applications that we get we see it in independent study work has done outside and that’s published and its good and it’s not good. The economics may be a good for us because we are paid as a percentage of premium as those premiums go up the absolute dollar we earn are more, but that’s very much offset by the fact that if these premiums continue to go up these products become less and less affordable to people and we don’t like that. We want these products to be affordable and obtainable for people to be able get to them and to want to enroll them and there has been a lot written about this recently that even with subsidies this is getting to be very expensive for people. So I for one hope that the pricing inflation stabilizes.
Steve Rubis: Great and then my last question I would give time to everyone else. can you talk a little bit about the risk exposure to the higher -- businesses. We hadn't open enrollment, especially around the sort of consumers who received the subsidy last year or this year I guess, but didn't file tax returns. I know that there is a decent is number of people, and I am just wondering on which end of the spectrum we serve the very on course end of the subsidy eligible or are we talking about more of the high-end or across Board or any color you could give would be great.
Gary Lauer: Well it’s an interesting question. In fact there was an article about this in the Wall Street Journal yesterday actually just in the inside of the cover of the second page. I can’t say we've had a lot of experience with that at this point. We're certainly very focused on retention with all of the individuals and members that we have on our base. That’s one of the things that we're looking at. Because we didn’t have a lot of good connectivity early on, we still don’t have a large portion of our member base being subsidy eligible although that portion is certainly growing. But we’re going to have to see what it looks like in this open enrollment period with retention and different reasons why people may be switching plans or reaffirming their subsidy eligibility and so on and these are all questions that remain to be addressed and answered and we think we have got a pretty good handle on all of this, but we’ll see once we get into this. So yes I think you do raise an interesting point there, which is many people who may have these subsidy eligible, but for various reasons can’t keep the subsidy.
Steve Rubis: Great, thanks for the color on this question.
Gary Lauer: Thank you.
Operator: Our next question comes from Stephen Lynch with Wells Fargo.
Stephen Lynch : Guys thanks for taking my questions. You provided the Medicare Advantage application growth numbers for Q1 and Q2 that are comparable to the 140% growth in Q3. Could you also give sense what the growth rates were in Q1 and Q2 for Medicare Advantage membership?
Gary Lauer: Stuart do you have that handy?
Stuart Huizinga: Let's see I don’t have it right at my fingertips. Give me just one sec.
Gary Lauer: You may have stumped on this one.
Stephen Lynch : That's not the problem, and…
Stuart Huizinga: I think it was close to 50% growth in Q2. Remember correctly. Yes.
Stephen Lynch : Yes. So is it safe to say that you're seeing a similar like acceleration trend there that's reflective of what you're seeing with the acceleration in growth and application.
Stuart Huizinga: Q1 was about 35% and then it stepped up to about 50% last quarter. Yes we have seen some acceleration there.
Stephen Lynch : Okay that’s great. The Medicare business seems to be performing very well. Can you help us frame the size of the addressable market for the Medicare advantage business may be in particular and then give us a sense for where you stand today in terms of penetration? I guess what I am wondering is how long can we expect to see you guys experience really high growth rate like this. Thanks.
Gary Lauer: Well. We think that we're just a blip in the market right now in terms of what’s available. You got about 47 million medical beneficiaries across the country today estimate that’s going to grow to 65 million to 70 million over the next several years as people age in and life expectancies are longer. You've got some place around 20% of these beneficiaries of Medicare advantage, but that number is growing. So we feel really optimistic about what we can do here we think that the market opportunities is very, very large. We are small piece of it right now very small, but growing very fast into it. It would just 4% or 5% of these market which we have been in the individual business this Medicare business is of very, very significant business for us multi hundreds and millions dollars in revenue and really good EBITDA some point to follow that continues. That’s what we are focused on. So for some of the reasons why we are investing in this the way do we have them over the last several years. Seeing with the market demographic look like we have seen what the retention is on this products what the union economic are and it’s just very, very compiling to us.
Stephen Lynch : Great thank you. Yes just going to say may be my last question and then I will happen to queue. You mentioned that qualified health plans accounted for about of third of the members in the third quarter. Can you give us sense for that was what the mix look like a year ago third quarter 2014.
Gary Lauer: Yes actually. I will be clarifying that. About third of our applications in the third quarter were QHPs and they don’t all necessarily matriculate into being members of third of the applications and. Certainly a year ago it was vast. I don’t have that in hand.
Stephen Lynch : Yes let me go back to Q3 a year ago with just a trade. I think it was just a very small percentage we really didn’t step up to the higher percentages until about OEP.
Gary Lauer: Yes. We really didn’t have connectivity that worked effectively until the end of this last open enrollment. So when you look back a year two years ago there wasn’t much opportunity to enroll subsidy eligible individuals unfortunately. We are very vocal about that, but here we are today and at least this moment we are able to.
Stephen Lynch : Thank you guys. Nice quarter.
Stuart Huizinga: Thank you.
Gary Lauer: Thank you.
Operator: Our next question comes from Dave Styblo with Jefferies.
David Styblo: Hey, good afternoon. Thanks for taking the question. Let me just start on the IFP and obviously the challenges that you guys are still facing there. I think you had thought the attrition was in line what you're expecting but I guess it was quite a bit more than what I was thinking. And as we kind of rolled forward through the Managed Care earnings and heard what they have had to stay about the individual markets, the challenges there that its more risk of reverse market than I thought. You heard the Obama comments about only expecting about a million new lives. Has that influenced what you're thinking about the strategy here and I know you're sort of it sounds like you're taking a little bit of a wait and see and being opportunistic, but over the long run this sounds like it's just becoming a more challenging market and should we start to think of this almost more among the lines of runoff business where you're really just trying to maximize the retention as long as you can the profit. Or is there something that you would see where things get better and you're able to become more engaged in the market?
Gary Lauer: Well you've really asked the $64,000 question, which none of us have the answer to. We like others were surprised to see the projections from the federal government being as low as they are for environment in this upcoming open environment period. They're projecting as having a year from now about a million and more lives that exist today for the government exchanges. We've viewed that just a year ago we've been thinking a lot more than that. So sure that influences us. No this is not a run down or a run up business at all. What we've decided to do because of the competitive nature of all the government spending at least what we have seen that the economics didn’t make a whole lot of sense for us to chase that market the way that we have. It's a very profitable business for which. We want to do everything we can to maintain that profitability you've just seen in this quarter right here. And finer point which this is a really good stable business, but I think it's probably very clear at this point the growth drive of our company is we’re moving right now is Medicare and it’s a very exciting place for us to be. The individual business is a great business for us. It’s just a much different dynamic in this market today than it was a few years ago, before the Affordable Care Act really kicked into gear. What it looks like a year or two from now, your guess is probably as good as ours. So we're just trying to be very, very careful and thoughtful about, how we go about business in that part of the market.
David Styblo: Okay. That's helpful.
Gary Lauer: We're all there on the Medicare. We are pushing Medicare as fast and as hard as we can.
David Styblo: Yes
Stuart Huizinga: I think I would just add a little color on that, you mentioned churn of the outset these are always estimates because we're always looking back on a lag on these numbers, but they have been so far this year in line with what we're expecting and we’ve been expecting basically what we saw a year ago. So we're not seeing an acceleration of churn. We’re seeing things kind of in line with what we saw year ago.
David Styblo: Okay, and can you perhaps make a little bit more precision. I think you had mentioned that the RPF app you expect those to be down in the fourth quarter year-over-year Are we talking something -- can you order of magnitude whether you're thinking about half of it or even more than down more than 50% directionally can you help us out there.
Gary Lauer: No I think it’s hard to project. As we're talking about here on this call there is a lot of uncertainty about, how many shoppers are going to be out in the market place in the upcoming season. So I think it would be tough for me to tell you exactly what we were thinking, we certainly scale back it in their customer care center year over year versus a year ago where we were, and so far we have been sending some left budget stand point. Sort of commenting based on sort of our initial view coming into in terms of marketing budgets and customer care resources. But as you know in that business we can scale up very rapidly if the cost of acquisition is favorable. We can more than 80% of the customers come to the web site without a system and so that’s something we can rapidly shift if we need to
David Styblo: Okay
Stuart Huizinga: Let me give you the more inside on how we are looking at this part of the business. We are looking at the company holistically and we are thinking about revenue in total and EBITDA and cash flow generation and so on. And today the Medicare business is not a profitable business because we’re investing so heavily and so aggressively in it. And we’re really good with that because we still got a lot of really good profit coming out of the individual business and that allows us to do that and we think still deliver some pretty good financial results as we saw in this quarter. One of the things that’s happening in this individual business and we noted this, is that our estimates of the commissions that we’re earning are up and they are up fairly significantly. And so what we look at here is not so much even application in the member base, but the revenue and the profit that falls out of that. So you got the commissions up fairly significantly, you can afford to have the applications in the membership down and you can absorb a lot of that. And that frankly that’s what we’ve been doing. That’s what we have had in this open and roaming period in the next year as well and that’s allowing us to just really go in the way we’re at Medicare. And also just a for the comment on the current is still fair those churn numbers are the retraction of pretty much in line with what we expected. Remember because we’re outside of the open and roaming period. You are going to have natural retraction. It’s happening on the government exchanges, its happens with us and there is really no means to replace them because you can’t go out and get the application flow that we used to be able to do historically before you had these open environments periods.
David Styblo: Sure, that makes sense. I do want to shift over to Medicare and the string of growth that you guys have done sequence has been very stable, very impressive and you help us out with some color last quarter. I guess if you could maybe just elaborate a little bit more on -- it sounds like you're stepping up a little bit of spending to reach out to these folks and drive applications. Can you give us may be some more concrete examples of what you're doing, what channels you are in. If channel partners are helping you, what it is that has really been helping out in terms of generating additional interesting growth in the business.
Gary Lauer: Yes absolutely, we’re finding that search engine marketing which we pay for is working for us and when I say working the economics are favorable, we have a cost of acquisition that’s acceptable. We've got a number of partnerships CBS the retail pharmacy chain for example and others that generate demand for us and those are a bit more mature than they were previously. We've got a full slate of products now from all the major brand name carriers, So that makes it a more attractive place for our consumer to come and it helps to improve conversions. We’re doing some work in broadcast media that's been very interesting for us and we’re really enthused about what we’re seeing there. There is word of mouth we know that because we hear about it anecdotally. Our propertymedicare.com is a place that people just -- the individuals naturally just key in and come to us. So it’s a combination of all those things and this is not unlike how we grew our individual business several years ago except the gulf rates we’re seeing here are frankly bigger than we had during that individual business. We know a lot about online marketing to do this and we've got some really good technology assets that help with conversion. I think the other thing we should point out is one of the reasons that our cost of acquisition continues to be so favorable is that we are converting it over a good rate. So we’ve done a lot of work there as well. So it’s all of those things.
David Styblo: Yes, helpful and agree on the economics. These guys stick around. Churn is a lot lower on this on the RFP base. Last one here we just on cash that's starting to build backup, it sounds like it might be a drag in the fourth quarter from spending but has that kind of normalized that every time. What are your thoughts for how much you would like to keep on the balance sheet and what you're going to -- what are you planning to do with that?
Gary Lauer: I'll take a crack at it and Stuart maybe have some comments as well. Historically we have been I think fairly aggressive about returning some of this to shareholders through share repurchase. In fact we've repurchased $250 million worth of our stock over the last several years. We don’t have a stock repurchase program in place today but that’s one thing that we could do. As we look at the Medicare business, frankly we would like to be acquisitive in places where it would really make sense of where we could generate even more demand and have more conversion and fulfillment. So we think about all of those things. We would like the cash position we’re in. Frankly it's a better cash position that we thought we would be in at this point. And we will be reviewing and thinking about all those things.
David Styblo: Thanks.
Operator: Our next question comes from Ned Davis of William Smith and Company
Ned Davis: Yes. Thank you. Gary, how much you -- I want to ask you maybe to elaborate a little bit on questions that asked before. You spoke about I think you said you just a bullet in the market place in the Medicare world. As I understand that there are very few independent companies that can market this product, mostly just carriers, marketing in. And I'm wondering what the gates for you to pick up a lot of this market share even as rapidly as you have been over the next few years. What are the limitations that further initiatives by other independent companies that are getting licensed to sell those, is that going to be a factor and our other carriers changing their strategy as they realize how profitable this business can be further a growth business it is.
Gary Lauer: Hey Ned, let me -- so thank you for the question, let me qualify my blip comment. What I -- I should have been more specific, we’re a blip in terms of market share right now. I don’t think we’re a blip bullet in terms of our presence in the market. And I think that our growth rates are telling us that especially what we’re seeing coming to us organically word of mouth and I like the fact that we’re a blip from a market share standpoint because that indicates we have so much run way that we think in front of us right now that there so attractive to us. And you’re right, there aren’t a whole lot out there doing what we do. It’s highly regulated by CMS. You’ve got a game and trust in the confidence of the carriers. There is a lot of compliance all should be because it’s a very important market and a lot of money is spend on by government. So we understand all of that. We’re very attentive to it, but we think that the limitations for us are probably more execution oriented than anything else. How much can we spend, continued to spend effectively, how can we ensure that we've got right resources in place to convert the demand as we bring it in and so far so good on that. But you can probably sense we’re really excited about this marketplace and what we seen here is. One of the better look in market opportunities I’ve ever seen.
Ned Davis: All right, the carriers seem to still be doing a lot of paper-based marketing, just mailing volumes of information out to people, are you sensing any change don't they recognize there is, this is obviously a growth market, but it's also a market where there is a high return on marketing expand, if you do it right. Don't they realize that or they doing something about it in response, or they just sort of basically a hearing to the same old strategies of the past among marketing?
Gary Lauer: Yeah, it's hard for me to comment on their marketing strategy and so on. They've sold directly into the markets in both the individual markets and the Medicare markets. I’m sure they will continue to do that. It's not an usual to see some of the brand names carriers with television commercials and so. And that’s all fun, that they work for them. We’ve got activities and strategies and we think some really knowledge inside the company that works really well for us in terms of very efficient marketing that can scale in this business at this point for us is all about scale it's about volume and getting as much leverage on that as we possibly can and we think we’ve got some pretty efficient ways to go about that.
Ned Davis: One last questions you gave up giving guidance because of all the confusion and uncertainty and strangeness of the IFP marketplace, I’m wondering if you think there will be enough stability next year after get through this enrolment period to start giving guidance again particularly guidance about the possible growth in the IFP business.
Gary Lauer: Well , we would hope so I think we have made a comment in the last earnings call if my memory is right and again we want to get through this annual enrollment period and open enrollment period. We need to have some stability when we want provide guidance we've been always historically we've done it the way that we understood the market the projections and we like to think our guidance was pretty accurate. And we need to have kind of bases from which we can do that and that’s what we're -- we'll see if we have that these enrollment period that we're in.
Ned Davis: Okay, thank you very much. Appreciate it.
Gary Lauer: Thank you.
Operator: Ladies and gentlemen, this does conclude the question and answer portion of today’s call. I’d like to turn the conference back over to Gary Lauer for closing remarks.
Gary Lauer: I just like to thank everybody for your time and look forward to talking with many of you as well. Thanks again.
Operator: Ladies and gentlemen this does conclude today’s presentation. You may now disconnect and have a wonderful day.